Operator: Good morning, everyone. My name is Dennis, and I will be your operator today. Welcome to the Sigma Lithium Fourth Quarter and Full-Year 2023 Earnings Conference Call. Today's call is being recorded and is broadcast live on Sigma's website. On the call today is company CEO, Ana Cabral Gardner; and Company Executive Vice President, Matthew DeYoe. We will now turn the call over to Matthew.
Matthew DeYoe: Thank you, Dennis. This morning before market opened, we announced a final investment decision for our Phase 2 expansion, as well as preliminary, unaudited 4Q and full-year 2023 financial results. Before we begin, I would like to cover a few items. First, during the presentation, you'll hear certain forward-looking statements concerning our plans and expectations. We note that actual events or results may differ materially given changes in market conditions and or our operations. Additionally, earnings referenced in this presentation may exclude certain non-core and non-recurring items, and have been based on unaudited financial statements. Reconciliations to the most direct comparable IFRS, financial measures, and other associated disclosures will be made available. The slides will be posted on our website, and following the call, we'll post additional slides with added financial performance information. With that, I will pass the call over to Ana.
Ana Cabral Gardner: Well. Hi, everyone. Good morning. We are absolutely delighted that we are announcing the final investment decision and the initiation of construction to double our production capacity from 270,000 tons of lithium concentrate per year to 520,000 tons of lithium concentrate per year. 2023 was just a transformational year for us. We became a major lithium producer and as an investor operating team, we own more than 50% of Sigma. So we are all in together with all of you, our shareholders. I'm going to walk you through the key items, the five key competitive advantages that gives us so much confidence to make this investment decision. First, we are large-scale. So we became the fourth largest mineral industrial lithium complex globally. Secondly, we are the sixth largest global producer, that includes brine and rock. So we got scale. More importantly, we have low cost. We have achieved the second lowest cost in the industry amongst our peers. In parallel, we are producing a premiumizable material, we call Lithium 5.0, which is the Quintuple Zero. It is irrespectively of environmental and social sustainability, physically and chemically is the best chemical grade, and most sustainable lithium in the world. It has unique metallurgical properties. So as a result, we made the final investment decision to build double scale to deliver more of that material. So the Phase 2 is going to be the same build team of Phase 1, which delivered Phase 1 successfully on budget and on time. More importantly, and I think lastly, a key point in this confidence behind the investment decision was that, as a result of the very successful drilling campaign of 2023, we managed to increase the project life to over 25-years. So we have now permanence and longevity at 109 million tonnes of mineral resource. We have forecasted 150 million tonnes of mineral resource. On the next slide, if you can see, we want to demonstrate quantitatively that we've surpassed every lithium industry record, and we've achieved full production capacity just at the beginning, just at our second quarter of operations. We reached 270,000 tonnes of material from September 23 to September 24. Meaning, on an annualized basis, we have 12 months -- we have reached 12-month capacity and again, within just six months of commissioning. We have managed to produce and deliver in those six months of 2023, 105,000 tonnes of this material. We caught quite a lot steel of the very great market of last year and as a result of the superior properties of the material, we achieved a $1,333 per tonne of average price, premium price for the material. Net-net, we're getting $1,160 per ton of this material. Again, result solely of the outstanding metallurgical and chemical properties of the product. We have managed to reach a cash cost at plant, which is the second lowest amongst the hard rock lithium producers. And these cash costs get lower as we get bigger, because we dilute our fixed costs by a larger production. More importantly, we've done all of this while generating and conserving cash in our typical Sigma discipline. In other words, we have a cash position of $109.4 million sitting in our balance sheet. So theoretically, we have an entire Phase 2 plant right there in our balance sheet ready to be deployed. So as a result, we're initiating to increase our -- initiating Phase 2 to increase our scale in 100%. We started with all the construction activities, mobilization, contracting promo and will double capacity to 520,000 tonnes. So it is more of the same, because it is working, and it's working extremely well, irrespectively of lithium price cycle. And I think lastly, again we got to 109 million tonnes of audited mineral resource with an exceptional high grade of lithium oxide, which means that we have over 25-years of life of the project, but our resource lasts longer, because it has higher lithium oxide. So we are a 100% known fourth largest producing industrial lithium complex in the world. And the only one to produce this 5 times -- 5.0 carbon lithium, which makes us all very proud, because for us in our team investor operators, it wouldn't be any point in getting here without being able to be in consistency with the supply chain, that we are honored to be part of. This green supply chain, that delivers these green electric vehicles. So here's a picture of this industrial plant, that kind of makes this match. This is the Cleantech innovation where you see in dotted red is this third module of the plant. This was a lot of work to put together, but that is actually the great responsible to deliver the Quintuple Zero lithium, the low cost and green lithium for green cars. And again, it's green lithium for green cars, not brown lithium for green cars. Why is that? We have zero toxic chemicals is dense media separation centrifugation technology. We achieved zero carbon. We use zero drinking water. We've been using sewage-grade quality water. We produce the lithium with zero tailing dams, and we use zero dirty power. Our power is clean and renewable. On the next page is an illustration of us in the lithium world in general. And you can clearly see numbers. The numbers are quite straightforward. We have our starting point at 85 million tonnes, which is equivalent to 2.7 million tonnes of LCE resources. Then we delivered the first leg of the mineral resource update, which got us to 3.3 million tonnes of LCE resources. And then we have the expected further increase at 4.8 million tonnes of LCE equivalent resources. On this page, you can clearly see where we are in scale. In brown, you see our peers, all of them in Australia, all of them lithium industrial mineral complexes in production. In purple are the non-producing. So we basically are the four largest lithium industrial mineral complex in production. We are of that scale. And this is just our first year of operation. So it shows that we have permanence because we are as large as the greatest projects in the world sitting in Australia. We joined that club. Here is when we stack us up against all producers, including brine producers. And again, the chart is pretty self-explanatory. We became the sixth largest producer globally, but because we commissioned our operations with the headwinds of the lithium cycle reaching bottom, we never got the opportunity to be repriced as the large-scale producer that we are. And here we're going to demonstrate visually the disconnect. When you see in dark green is the volume in LCE equivalent of 2024 production. In gray, you can see the market cap current of these companies. Clearly, when you look at Sigma at 37,000 tons of LCE equivalent of production for 2024 like right now, you look at our market cap, we're really priced like a developer. So the discrepancy speaks for itself. And the plan for this year and our number one mission is to close that gap, basically doing what we're doing, demonstrating that we're here to stay as a large supplier. And this next slide proves it. We're going into our ninth shipment. We have demonstrated resilience and the sheer metallurgical product quality of this material. We established shipment cadence, basically on month five after commissioning, by reaching capacity -- annualized capacity. We've done all of that against terrible headwinds. So we now have a track record of being a reliable large-scale supplier to the EV battery chain. And in the spirit of transparency, we're showing every shipment and every implied price per tonne of every shipment. So we've achieved this on merit, slightly premiumizing over our peers, because the product has what we call value in use, superior metallurgical properties, that deliver measurable, quantifiable cost savings to the customers. So we're here to stay. We're large-scale producers. We are force for good in the industry. On this next slide, a bit more on premium pricing. We've been achieving a meaningful final premium price. This month we were able to close the gap completely and eliminated provisional pricing. So that once again validates these outstanding metallurgical and chemical properties of the product. The product is better. It delivers savings. So we're not capturing all of those savings. We're capturing some of it, that becomes our premium pricing. So just now for its eight shipments, we've achieved $1,333 nameplate price, which included VAT. Net of VAT is $1,160 per tonne. So that's a very decent premium for the new producer on the block. This price again is final and non-provisional. So it's a meaningful increase over the previous premium prices we already achieved, we showed you on the previous pages. And if you translate that into a variable price or into a reference, that's equivalent to 8.75% of the London Metals Exchange lithium hydroxide CIF quote. So it shows that we're grabbing a significant portion of the value of the supply chain. The price discovery was transparent. It was driven through close private bidding and the purpose of it is working partnership with Glencore, our marketing and commercial partner to maximize the value of this superior product for Sigma. On this next slide, again more of why do we have value in use? What are these chemical and physical properties that allow us to premiumize, even against headwinds? First, it's because the product is high purity. High purity means, low iron oxide, low potassium oxide, low sodium oxide. These are three, let's say impediments to achieving ultra-high pure lithium chemicals at a low cost for our clients. It also has low mica, which again is another stumbling block in the refining process. What's interesting though, is that when you look at the physical properties of the product, we have a dry coarse. The dry coarse behaves in the calcination stage at the [keel] (ph) beautifully, as it heats up and it becomes beta-spodiumine. So there are efficiency savings right there in the form of saved energy. So this whole combination delivers a saving that's measurable. How so? The downstreamers just need 7 tonnes of our product to produce an ultra-high purity lithium hydroxide. When you look at the comparable product, 9 to 10 tonnes of that comparable product is needed. So there's 3,000 tonnes of savings for our client per tonne of lithium hydroxide, which could technically translate as about $330 per tonne of savings for us, if you look at just 7 tonnes. And again, it's visual. You can look at the pictures and you can see the difference. Ours is this very light greenish, which means purity, a coarse material versus the muddy, talc-type wet materials from our competitors. And again, here's the Quintuple Zero, I'll be brief, but we are very proud to say that we've done all of that staying true to purpose, whether it matters or not, whether we get a green premium or not, that is not why we do it. We do this because 12-years ago, we started on this journey of being investor operators in Sigma to deliver just that. To be at the leading edge of sustainability. Zero carbon, zero chemical -- zero toxic chemicals, no tailing dams, no cannibalization of the community portable drinking water with clean power. So we did exactly what we said we did. We didn't increase our production cost as a result, but unfortunately we do not get a green premium. But again, our product is better. So a bit about -- okay, a bit about the numbers, right? We're built to last. I mean, we built this company with draconian financial discipline over 12-years. So ironically this is probably one of our best moments, because it's the first year we have revenues, and more importantly we're able to quantifiably demonstrate that we are low cost. So we have revenues, we have low cost, we have cash flow, and the consistency of delivery and production of our Greentech plan keeps on driving revenues, keeps on achieving that at very low cost, creating what we call commodity cycle resilience. So irrespective of commodity cycles, we're generating cash and we have a very robust business. As Jim Collins used to say, we're built to last. So in 2023, our full-year dollar revenues were $135 million. We shipped 102,000 tonnes of material. We produced 105,000 tonnes, but the average realized price per tonne of material was $1,321 per tonne. Our FOB adjusted cost at plant was $427 a tonne. FOB adjusted cost at Port of Vitoria meaning taking from the value to the Port of Vitoria was $485 per tonne. So in China, all the way in a Chinese port is $565 per tonne. So very, very close to the guidance we provided to the market, as to expect for the full year as we keep on decluttering or as our friend Joe said, removing the noise out of our financials given that this was a hybrid year, part commissioning, part production. So in margins, the margins are pretty spectacular. Our FOB plant margin is 67%, port margin 63%, cash cost CIF China margin 57%. At what some people consider to be the bottom of the cycle, this is mathematics. The mathematics of commodity cycle resilience. And as we say, mathematics has no opinion. Mathematics is just a fact. So on the next page is again more mathematics. For the full-year, we've already given you the revenues, the shipped amount and the price per tonne. Now let's move on to EBITDA. We posted an accounting EBITDA cluttered, meaning with the noise of commissioning of $24 million from July to December, because that's when we earned it, less than half a year. Now we adjusted for non-recurring items, which include things such as RSU expenses and commissioning costs. So the pure EBITDA margin at FOB revenues was 18%, but the adjusted EBITDA margin for the non-recurring items and non-cash items, such as stock compensation is 36%. So again, a very robust EBITDA margin to be expected from us in our very first year. So it is -- and it is this low -- the low production cost, that drives our ability to generate free cash flow. As I said earlier, we are draconian when it come -- when it comes to cost. We always do more with less. Why? Well, we're all owners. We're all investor operators. It's not somebody else's money, it's our money. Every employee, every senior manager is a shareholder. So we look after our money. We look after our expenditures like we look after, you know, the money that goes into our wallets. So the full quarter cash unit operating cost at Vitoria is $442 a tonne. Non-recurring commissioning expenses amount to about $94 a tonne. So the pro forma four quarter cash unit operating cost of concentrate amounts to $455 a tonne. My partner Matt is going to give you a bridge in a lot more detail in a second. So we're targeting for the third quarter '24, an average, you know, very close to the guidance $420 a tonne FOB Vitoria, $370 a tonne Plant Gate. These cost initiatives include a number of things, diversifying suppliers and service providers. We are onboarding contract labor, which was important when we commissioned and that was one of the expenses we adjusted out, meaning the engineers of the construction companies, the engineering companies, that stayed behind to help us operate the plant and commission the plant. They're no longer with us. We now have our own teams, and we've optimized maintenance schedules and we're running this like a clock. We have predictability and umbrella maintenance contracts with our main parts manufacturers. So, now I'm passing it on to Matt DeYoe, my partner, to go over the bridge for the cost. Matt, you got it.
Matthew DeYoe: Thank you, Ana. So our reported FOB costs in the fourth quarter as we had highlighted in the release was $549 per tonne. Within 4Q were a number of costs associated with commissioning expenses that were more of a 3Q phenomenon, but booked within the October-November timeframe. They're real costs and we incurred them, but on a pro forma basis, they didn't recur in December or January or February. So we feel very confident that those are as we say, non-recurring. That would drive a pro forma FOB Vitoria cost of about $455. If we strip out the $70-ish per tonne in high-grade freight, we end up with a 4Q pro forma Plant Gate cost of about $385 within the fourth quarter. That's not very far, as we said, from the $370 that we were highlighting for the 3Q average. And again, we haven't even really begun to benefit from the transition of contract labor to salary, domestic labor, some of the diversification of our suppliers or the optimized maintenance schedule. So we think we have plenty of room or good line of sight again to hitting that $370 number. Obviously, as you build this back up to get to what we hope is a recurring reported COGS all in, you add back that spodumene, freight, royalties, and DNA, and you should get to a rough ballpark of where we hope to be, at least on a pro forma basis, if you were to think about 4Q. Other items that impacted the fourth quarter, low-grade trucking and warehousing. We're not trucking our tailings to port anymore at the moment, given market conditions, so we don't expect those costs to continue. As we mentioned, those commissioning expenses here and there, and we got some tailwinds from equipment, tax and credit, so that kind of bridges perhaps the other line items just from a quarterly impact perspective. So again, I think we feel pretty good with the direction we're headed. Ana, I'll pass it back to you.
Ana Cabral Gardner: Yes, sir. So here we go. Next page. Again, this is the bridge to EBITDA. And again, it's a very straightforward bridge. We start with sales and we go all the way to the adjusted EBITDA. And I want to make it clear, we're adjusting for non-cash items and for commissioning costs. So we delivered what we call an adjusted EBITDA of $49 million. So we ended our very first year of production with positive cash adjusted EBITDA and cash operating profit. I mean, considering the downfall in lithium prices, we are all very proud of this accomplishment. So here it is, we start with sales in $135 million. Then we have operating costs, non-recurring, transport and warehousing, we get to the gross profit, right? So at the gross profit, then we have SG&A, ESG and others, and then with cash EBIT. So then we start moving back into the items for adjustment. Meaning, stock-based compensation gets added back, because it's a non-cash item, is an IFRS accounting item, then we get the D&A added back, and then we get the EBITA. So all of this is accounting straight from our non-audited financial information. So then we get to the $25 million of EBITDA, which I just showed you on the previous page. And then we add back the non-recurring SG&A, which is part mingled with the operating cost there. It's mostly related to commissioning costs. For instance, in commissioning engineering costs alone, we have something around $6 million. We have a -- we have a series of this one-off items, they're not going to repeat -- to be repeated on an ongoing basis, and as a result, shouldn't be part of your modeling of the company. So then we get to what we call adjusted EBITDA of $49 million. So here, a bit of kind of the breakdown of this non-recurring general and administrative expenses that we discussed before. What are these items? What's in there? It's a mix of things. For example, as you can see, 25% of these numbers are related to the commissioning team on Phase 1 construction. 29% is legal. I mean we had litigation, we had a strategic review. We were very well advised and very well guided by excellent lawyers, but they are one-off. So more important, we had quite a lot of consulting work, which we're calling audit and accounting services, which were basically helping us, put our SAP back on track, classified costs properly. I mean we were kindly supported by the folks at various consulting firms to get us put our back office in order. So that's again an investment, a one-off investment in that part of the business. We had non-recoverable VAT taxes of 7.4%. And then transaction cost and commercial development, achieving the premium price cost travel, cost money, we spent quite a lot of time in Asia working with clients, working with refineries, working with battery makers, working with end users to test product and establish ourselves. Again remember, we started from zero. We did not have a book of clients. So we built an incredible book of clients that premiumizes our product, because we work with them to understand and to test and to demonstrate value in use. That's the 28% non-recurring. So we kind of gave you a glance of what are these, we call investment items. This is us investing in the resilience of our business for the next couple of quarters. And on the previous slide. So just to recap then, number-by-number. So this breakdown is -- if you look at this $24 million, that bridge the $25 million accounting EBITDA to the $49 million of adjusted EBITDA. The next page, basically shows you the breakdown of that $24.5 non-recurring G&A expenses. We try to give you as much clarity and insight as possible into a number that is an adjustment that is non-recurring. So now we go on to, how are we going to look like steady state? Well, we started with the current prices, with the guidance we provided, which we stick to it. So again, the estimated -- well, the net concentrate price we just obtained is $1,160. Whatever it is on a cycle, it doesn't matter, because our CIF costs in China are $510. We believe the recurring SG&A to be about $48, and the maintenance CapEx to be about $18. So the estimated run rate cash operating margin per tonne is $584, which means we make money with every single ship, right? So deduct, you know, $1,160, minus $510, minus $48, minus $18, there you have. It is a substantial gross margin -- sorry, it's a substantial net operating margin -- cash margin. So then when we go to mid-cycle, this number get -- this number gets even bigger, because we achieve an even bigger run rate cash operating margin per tonne. So we gave you the per tonne numbers, so that you can actually model in whichever cut-offs you choose. So we generate cash at the trough of the cycle. At mid-cycle, we generate quite a lot of cash. So that's just a demonstration of our unique operational efficiency. And I must say that on this aspect as well, we are in full tandem with where the electric vehicles industry is going. It's now all about producing cheaper batteries, cheaper cars, lower-priced cars. So we are the low-cost producers. So we're here to stay. And these low costs are basically -- mainly due actually to our lower Greentech plant processing costs. It is a dense media separation, uses centrifugation, uses less electricity. Yes, our electricity is clean and cheaper, but our process just have basically seven -- six main DMS', seven main steps, plus the crusher. So we don't even crush the powder. So it is a lower-cost industrial process period. That's where we gain the competitive advantage. We decided to invest in this technology. We took a contrarian view in 2019, and we proved that dense media separation technology is not only greener, but it's also more cost-effective. So it is in tandem with the future of the industry in its two core characteristics. Batteries have to be cheap, and we believe materials in these batteries have to be green. So this is us. So when you perform 2024 estimated cash flow, assuming a $270,000 -- 270,000 tonnes per year produced. We have the equivalent of $158 million of estimated run rate cash operations generated at current prices. Mid-cycle will be $249 million. So a pretty robust cash generation. When you go to '25 with doubling the capacity, we can dilute down a bit the obvious fixed costs, such as recurring SG&A. So that number goes a bit higher. It goes higher than double. It becomes $304 million. So again, as we've shown on the bridge that my partner presented, you can clearly see that as actual costs were there. We're delivering actual costs that are closer to guidance, because we built the guidance bottom-up supplier by supplier before providing it to the market. And so with all of that, I think I might have given you comfort that we got a very resilient business. We have solid cash generation. So we're building our board green-lighted final investment decision, and we are initiating the construction to double production capacity to 520,000 tonnes per year. On the next page the picture, a thousand words. You can clearly see that all we got to do is build another Greentech line. That will cost about $100 million and you will add 250,000 tonnes of lithium concentrate production capacity. Given our cash at hand, meaning cash at hand of $109 million, in theory, we could actually build a plant right now just drawing down from our cash position. Now, why is that? And that's what our next slide is going to show. This comes and we haven't explained it as clearly. We have trade finance, yes, we do. It's revolving because it's linked to our ability to deliver what we just showed to you, cadence. Every month, every tonne produced generates permanence of trade finance. In Brazil, it's called advancements of export contracts. ACEs, they last about 180 days, but they are linked to our ability to produce cadence of production. The thing though is that we did not draw down these lines. So meaning, sorry, we drew it down, but we did not use it for trade finance. So to make it clear, we have the trade finance, we drew down the lines, but we did not use it to finance the working capital until the client pays us. Why? Because this is where Glencore steps in. In addition to being a fantastic commercial and trade partner, they're also our financing backstop. As you noticed in the previous shipment, they advanced on a final and non-provisional basis, now, 85% of our boats, of our shipments. So we rely on Glencore not only for their incredible marketing and commercial expertise, but also for providing us with the actual trade finance. So the trade finance lines we have in the banking system here are sitting untouched in our balance sheet. So they're drawn and they are untouched. And what are we going to do with them? Are we going to build a whole plant with them? No, we're not. But they are going to be the cash that will advance the funds for construction as it progresses because the development bank lines of BNDES are on a reimbursement basis. So we pay, we get reimbursed. And the cash position is the demonstration that we have the ability to green lights this entire construction right now, today with the snapshot you got in front of you. So, as we keep on generating more cash with every shipment, we're extremely comfortable financially. So again, we approved the initiation of construction of Phase 2, because, well we have a track record building on schedule, on budget. We actually broke the record of this industry of getting there fast. So, with the total CapEx of $100 million for the 250,000 tonnes of increased capacity, essentially we're going to have with P2, enough lithium for 850,000 tonnes of EV. So we like to say that Sigma belongs to the world. I mean, we can deliver this to many markets well beyond our borders. We are a global force for good in the industry. The EPCM is mobilizing the fleet for earthworks. We are active in construction, mobilization, preparation. The Phase 2 flow sheet is consistent with the processing sheet. The technology to process the material just becomes improved. So it's consistent with all the lessons we learn with Phase 1. So we have quite a lot of technological advancements and improvements and lessons learned, that we are building or we built into the engineering of Phase 2. So Phase 2 is a better version of Phase 1. And this comes from savings in engineering, optimized design, offsetting material costs. Well, the dry stacking for once, which didn't work in June. So we figure out how to make it work. We're now going to build a dry stacking that's going to work immediately together with the Module 2, the dense media separation plant. So we got technological improvements all along and this is why we were eligible for the Brazilian Development Bank innovation line, because there's innovation all around this flow sheet. And again innovation as all of you innovators know, is not an eureka thing. This is a sum of various optimizations in industrials like we are throughout a processing plant. So the sum of all these innovations, the sum of all these optimizations, leads us to the incredible production cadence and consistency that we were able to reach. So the next slide, well has a lot of meat. This slide has a lot of information, a lot of detail, but we wanted it to be just that. We wanted to do a side-by-side of what was Phase 1 and what is Phase 2, and where are the savings? This is public information, so you can refer back to it. I'm not going to spend that much time on it. But essentially, where are we saving? Is a bit of everything really, right? We're saving on spare parts, because we're an operating entity, so we don't need to build an inventory of spare parts. We're saving 50% of engineering because we have a plant that works. So we're basically doing the designs of a plant that we already have with the improvements. There's a bit of environmental savings to the extent that, for example, we do not need to build an entire sewage treatment station like we did before, given that we use sewage water from the Jequitinhonha River. So it's a sum of various savings that leads us to a plant that is going to cost about 20% less than Phase 1. On a total construction CapEx basis, It's kind of roughly 10% less, which is 10% less of a very inexpensive plan. So, given the track record, given that we've done this before, given that the team is exactly the same, everyone that built this is here. Keith Prentice is leading it. I'm here. Felipe, which was Chief Controller of Procurement is back here. So it's kind of the back -- it's putting the same team back on the field to do what they do best, build on time on budget. And we're hiring Promon again, which has done a spectacular job for us in a previous project. And we're hiring Parex again, which has done a spectacular project assembling this in record time. The next slide is a bit more meat. We'll put labels on this, but the purpose here is just to illustrate that when you start construction, you don't really have all the costs on month one, is a crescendo, right? So you start with earthworks, civils, foundations, which cost about $10 million, but it's not $100 million, which means it's back-loaded costs. The disbursements start to increase as equipment gets ordered prepaid or intermediate payments, and then later on delivered to sites. So this slide kind of illustrates that, that construction of a plant is backloaded. Even though we have the cash sitting in a balance sheet, we could do all of it front-loaded in theory, that's not how it really works, and this is why we're so relaxed. On the other hand, in typical financial prudence, we're going to build one plant at a time. So that's an important point to leave you with. We're building a plant this year, and then next year we'll build another one. So the next step, more on the construction process. So construction activities are starting this month for earth civil works, foundation, infrastructure installation, mobilization of equipment. We're going to have about 200 extra workers involved with the Jequitinhonha. So more of the prosperity that we brought to the region, we're going to probably lodge them in Itinga, which is a city closer to us. So the first step, the very first step was licensing. So we were already awarded a license. So we're fully licensed to build and to operate. That's an incredible accomplishment. We have the LO, the operating license for this plant already. Why? Because of the track record. We demonstrated that we are impeccable. So we got something that is typically granted to industry in Brazil, but rarely to industry connected to mining. So we got the same industrial clout as a high-tech industry because we demonstrated to be good protagonists of mineral transformation. Our plant is innovative, is Greentech. It changed the conversation in the sector. So we got the operating license right at the get go. So we're fully licensed. As soon as we're done building, we can start selling products. Then we got the financing. As we've shown you, we got the cash balance, it's linked to trade lines. Trade lines exist based on production 180 days revolver, so we're good to go. Then we've done the engineering work. We are FEL3- quoted, Promon led it. So we have the number two precision. It is a $100.5 million. BNDES has honored us with an innovation line. We're very proud to be part of this club of companies that has been extended development bank financing in this country. We are planning to honor the taxpayer money that's been given to us by again delivering this on time and on budget. And this is a backstop financing because again it's a reimbursement line. So we need a cash at hand in order to submit the reimbursement that then BNDES covers. So we made the FID. This is kind of what leads us to do final investment decision, there's been months of work, months of work going into the ninth month of work that led us to this moment of starting mobilization, It wasn't overnight. The next page is again completed detailed engineering, CapEx with FEL-3 accuracy. This is how we keep it on schedule, this is how we keep it on budget. This is the secret sauce of building responsibly. We don't get it wrong because we quote suppliers. We are licensed. We have a permanent mining license for the area. So we updated project execution plan. We're doing procurement. We're doing import logistics. Final investment decision for Phase 2. Our board couldn't be more comfortable. Remember last time we green-lighted final investment decision? It was in 2020. It was in the middle of COVID and we did not have cash generation. So this is kind of why we sound so relaxed. On the next page, we're relaxed, but we're vigilant. We're relaxed, but we didn't lose discipline. So we're going to do Sigma style. One step at a time. So this chart has a lot of information, but it's a modified chart that you already know. Year-by-year, we're showing in dark green sources of cash flow. What are the industrial capacity modules we got running, right? So '23, we produced 105,000 tonnes of lithium concentrate cash flow, right. We finished building it, we're done. In '24, in orange, we're showing what we're building up in the greenish here is what's being green-lighted to build. So we're almost doubling capacity. We go from 270,000 to 520,000. And we're putting this because that's nameplate, right? We probably can go higher, but it's nameplate. We're going to have the benefit of the cash flow of Phase 1. So cash flow from one module of the industrial plant, construction of another module, that's been green-lighted. In brown, it's what hasn't been green-lighted, but this is where we're going. This is the industrial plant that we submitted to BNDES with the whole development strategy for the lithium valley, when it comes to Sigma. In '25, we're going to have the benefit of Phase 1 running cash flow, Phase 2 running cash flow. Depending on where we are, we may or may not even deliver a dividend, let's see. But Phase 3 is going to be green-lighted to be built, most likely integrated with a lithium sulfate plant. Why? Well, because of that meaningful gain, the value in use, that we are currently providing to the clients for very little premium. So if you recall at today's prices of $14,000 per tonne of lithium hydroxide, if you quoted for technical grade, it doesn't matter, because our $3,000 are intact. One needs 7 tonnes of our material to do a tonne of, let's say, lithium sulfate or intermediates of full chemicals. We need less units, less quantity of our material. So what's the rationale? If I can calcinate and do the acid wash ourselves, which is what it's called intermediate chemicals, lithium sulfate, we're capturing that $3,000 for ourselves so that becomes extra cash flow. So the decision will be made in '25 because we got a whole year to see if we can premiumize to that value in use. If we can't, we're just going to do it ourselves, because calcination is a kiln and acid wash is an acid wash. These are intermediate chemicals. It's basic chemistry. Brazil is an industrial country. So the human capital and the capabilities are here. We are not going to do specialty chemicals. What we'll be doing then is shipping less volume to specialty chemical refineries all over the world including to our dearest Chinese customers, who already agreed to buy this material from us. So we'll ship lithium sulfate intermediates to China to Texas, to Europe, to Japan, to South Korea, to all over the world. So that's the '25 plan. And then in '26, we're going to sit and we're going to enjoy the industrial site we built. So these are our plans for the next two years. So we're going to be quite busy. What I also want to share with you is that none of the activities related to the strategic review has impacted at all our ability to think, to make a strategic plan, to execute, to deliver, to continue to do what we do best, which is to execute. And that leads us to our concluding remarks. I mean, we have completely transformed Sigma from -- and you can see the picture. It's a thousand words. It was a construction site in March '23. You can look at the left. What we have now is the sixth global largest producer of lithium across the board, brines, hard rock, and the four largest mining industrial complex in the world. We delivered everything that was under our control, completed the DMS commissioning, initiated production in April '23, hit nameplate capacity by four quarter. We delivered a dry stacking, so we have zero tailing dams, not a drop of water to spare. We reuse the water. We reached net zero, which again has been four years in the making and we also delivered the Quintuple Zero lithium that we all love here. We increase mineral resources significant to give longevity to our ambitious industrial plants. So those industrial plants now are backed by 104 million tonnes of reserve -- resources, mineral resources, 43-101 audited, and an expanded -- expected mineral resource of 150 million tonnes. And we're quickly in the process of converting part of the 109 million tonnes into additional reserves and we got a consistent monthly shipment. What to expect from us this year? Well, mobilization, we're beginning construction. We're going to deliver the mineral reserves. We're expecting to increase it by 40%. We got 54 million tonnes of mineral reserves. We're going to increase those in 40% and again, it's just to add longevity, solidity, and permanence to our industrial plant. We're going to audit further the 150 million tonne mineral resource. And we're going to commission Phase 2. So we're very, very, very enthusiastic about 2024. And again, a lot less worried than when we did this the first time, because we have the first execution under our belt. So we know what we got right, we know what we got wrong, and we're going to try not to make the same mistakes. Making mistakes is human. We're not going to make the same mistakes twice. So here we go, twice as experienced, a producer with cash on hand, marching into doubling the size of this company. And hopefully, hopefully being able to getting priced at least in tandem with what we produce today. And I'll go back to this slide, if the market could only give us the credit for the producer we are today, we would be quite happy, because right now we're kind of priced cheaper than a developer. So that's kind of what gives us so much confidence to be, you know, more than 50% owners of this company here in the management team and work all hours to deliver this 2024 milestones to our investors. And to all of you, I want to close this with a huge thank you for supporting us, encouraging us, sticking with us, and believing in us. And this is my accountability to you. We're delivering exactly as we promised on every element that we can control. Now, we're moving on to the Q&A. Matt?
Matthew DeYoe: Thanks. Yes, I'll pass it to Dennis to open up the Q&A.
Operator: [Operator Instructions] Now we have a question from the phone line. It comes from the line of Steve Byrne with Bank of America. Please go ahead.
Steve Byrne: Yes. Thank you. Is it fair to assess your net cash position in the first quarter is dropping by $30 million? Is that a fair assessment? And if not, what usuals might have led to the cash drain? I'm asking because you're moving forward with an outlook of generating free cash flow in these subsequent quarters, I just want to make sure that squares with what the results were in the first quarter.
Ana Cabral Gardner: Matt, do you want to take the question or should I take it?
Matthew DeYoe: Ana, you can grab this. Yes.
Ana Cabral Gardner: Yes. So, Steve. Well, we're giving you the snapshot of the cash for now. So $109 million is March 30 cash position, right? So that's an important point. What happened between then and now, well, we drew down -- and this is why we wanted to give you clarity on the trade lines. We drew down the trade lines, but we did not use it. So what we have there is a combination of drawn trade lines, but unused trade lines. And then, if you take the cash page here, you're going to see that we got -- there you go. Can you see this page? Yes, so we got $88 million of these trade lines, that were drawn but unused, right? And then the balance is just cash generated. Now, when you look at the back of the year-end cash, there was a $12 billion advanced interest payment that was made on the long-term loan we have from a shareholder in our balance sheet. So maybe that's probably the -- we call the clutter, when you look at the cash position in December. Not sure, if I answered your question.
Steve Byrne: When you say that the two...
Matthew DeYoe: We can take it offline too. The math is a little bit -- I think your math is a little off.
Steve Byrne: Okay. Could maybe just...
Matthew DeYoe: Our net debt would have increased only modestly between year-end '23 and March. And then obviously, as we've been able to kind of articulate more recently in our press releases, we're now locking in price at pretty good economics. So we would expect cash to accrue quite considerably, should markets kind of sustain these levels, which we for now see that they are doing. But we can -- we can talk a little bit more offline.
Ana Cabral Gardner: Exactly. Because, -- Yes, if you take a snapshot of like today, and that's an easy snapshot, right? We got $100 million of long-term debt from shareholders. We got all US dollars, $10 million from BDMG, so that's long-term debt, not amortizable. But the interest on the long-term debt has to be paid upfront. So it was decreased from the cash position on December 31. It wasn't paid then. It was paid in January. Then what we've done, we drew all the trade finance lines, but we didn't use it. We got $90 million, we got $88 unused. So when you think about the overall position of net debt, we got roughly $110 million sitting long term, and that's very benign shareholder plus development bank. And we got these trade finance lines, which are in Brazil, kind of a unique animal, they're kind of a revolver, which are sole function of our ability to produce. So we wanted to show that when you look at the cash position, if you deduct $109 million minus the trade finance, it's actually generated cash, right? And if you try to kind of triangulate that with the cash in December, probably the big item that's missing is the payment of about $12 million of advanced 2024 interest for the long-term shareholder line.
Steve Byrne: Okay, thank you for that. And maybe one follow-up on the idea of at least considering going downstream into lithium sulfate. Do you have any preliminary cost estimates of what that project might cost? And would you do that at the mine, where you would there operate a calcine at the site, and some of that material would then be put back into the excavated areas?
Ana Cabral Gardner: Well, that is the centerpiece of BNDES industrial strategy. We will put it whatever natural gas is going to be made available to us at the lowest cost per BTUs. Most likely -- I mean, Brazil is a very large oil and gas producer offshore. The gas is available in what we call the pre-salt ports of which the Vitoria port where we are is one of them. So if we can get the affordable dollar per BTU of natural gas at the port where we are already most likely, we're going to put it at the port, which is where it makes most sense. One of our partner clients has basically announced to do exactly what we're going to do with one of our peer companies in Australia. It's the obvious thing to do, and we were the first to talk about this. To do lithium sulfate is the natural evolution for a lithium concentrate producer and we demonstrated why. Now, what's the advantage of Brazil? Clean, cheap power. I mean electricity costs $0.02 per kilowatt hour. We can obtain a very, very favorable $1 per BTU gas contract at a pre-south port at the short. And we do have a study, which, in fact, you know, is very similar to what our peers going to announce in Australia of how much this plant is going to cost. I can't divulge it now, but this was one of the centerpieces of the conversation with BNDES. This is the ambition and it's pretty straightforward, because it's basic chemistry. An intermediate plant is a kiln and an acid wash. The kiln makes spodumene into beta spodumene and the acid wash produce the sulfate. Now, what is the real key? And that's a key competitive advantage we built into this company, residues, the tailings. What do you do with 12 tonnes of toxic sulfuric acid tailings generated per tonne of lithium sulfate? That is the question, that very few places can answer sustainably. And here in Brazil, we have an answer to that. Why? These materials can be recycled in the construction industry because it is a cement-based construction industry we have in Brazil. These materials become concrete binding number one and number two, they are aluminum sulfate, so they're used by the cleaning products industry, which in Brazil is of massive scale. We have 230 million people obsessed with cleaning. So we have one of the largest cleaning products industries in the world. So we can absorb all of the tailings. So we can do this zero tailings. And there are very few places in the world that can do the zero tailings. Most plants involve shipping these toxic sulfuric acid tailings by boat elsewhere to a developing country with a lot of people, where you got a cement-based construction industry and a large cleaning products industry. But we have this market right here. We are here. So that is also a key competitive advantage to doing intermediate chemicals, because we solve a key piece of the puzzle for everyone, even for China. For China, we can deliver what we call intermediate negative. We can deliver carbon credits that allows China to do zero carbon chemicals. For the West, we're going to deliver a chemical to chemical supply chain with zero carbon and zero tailings. So the West doesn't have to worry about licensing or worry about storing or doing what have you with 12 tonnes of toxic sulfuric acid-loaded tailings generated in the intermediate chemical process. Waste is the key to where these industries are going to be located. How to actually recycle and reuse the waste responsibly from an environmental perspective. And in fact, that's what China does very well today. That's what we can do, because of these reasons, you need a large cement-based construction industry, and you need a large cleaning products industry to take all the aluminum sulfate.
Steve Byrne: Pretty good. Thank you.
Ana Cabral Gardner: You're welcome.
Operator: Your next questions from the line of Joel Jackson with BMO. Please go ahead.
Joel Jackson: Good morning, Ana and everyone. I have a few questions. I'm going to ask them one by one. So, can we talk about SG&A? You talked about earlier this year about trying to get SG&A down to, I think, about $11 million run rate annualized. I think you did about a CAD10 million run rate in Q4, so getting there -- CAD10 million, excuse me, in the fourth quarter. Can you talk about what you think SG&A will look like in Q1 and Q2 of this year? Q1 of this year, what it was, how much of that -- how much of the burn rate might be in SG&A for the strategic review?
Ana Cabral Gardner: Yes. Well, if you look at this slide, Matt, you can take it as well and please help me here, okay. You see that we posted $42 million, right? When you look to the right, you see the $24 million. So if you deduct $24 million from $42 million, we're still at double the guidance we gave you. We try to give you guys a reason of why is that? And we do believe that this cluttering of SG&A will not be here in all its entirety in Q1, but some of it's still going to be here, such as the legal. We still have the teams working on our SAP. So the Q1 is still going to be work in progress. We're still going to be getting there. Matt, when we look at the bridge though and that goes back to your point, Joel, on the operating cost, we're almost hitting it, right. So the SG&A becomes a working progress of actually decluttering and evolving into what we call steady-state SG&A. But on the operating side, we're almost at the guidance we gave at BMO's conference for, what we call a run rate operating cost. Matt, do you want to compliment?
Matthew DeYoe: Sure. I mean, Joel, some of this is going to be tightening the belt, where we need to and where we can. Obviously, this is kind of a recurring number. So to the extent we have litigation or the strategic review, those will be additive. But from a bottoms up perspective, if you think about the costs that really take to run the corporation, it's a pretty lean back office. Now, we hope we'll get additional scale as we ramp Phase 2, because we won't have to add nearly as many heads as we would when we double capacity, right? We'll get key operating leverage through SG&A and port traffic primarily as we double. But from our perspective, if we take a more stringent approach to spending and perhaps spending that's more in line with I would say, where the economics of the market are versus, if you rewind to really the first half of the year, when price expectations were much higher and we were spending to ramp the facility, we think we've got a pretty credible path to getting there. But it's a little bit more of a lift perhaps, than the operating cost side, but numbers all the same that Ana and team feels pretty comfortable about.
Joel Jackson: Okay. And so what's the monthly burn rate on this strategic review?
Ana Cabral Gardner: It varies. That's the problem. And this is what's called shooting a moving target. You know, it really varies and that's one of the items we don't control. That's one of the reasons why we can't fully declutter this. It's one of the non-predictable elements. It totally varies on the flow of drafting documents and structuring and things that come our way. But I would say is much alleviated this year. It's much, much alleviated, because we don't have to do structuring. We don't have to do the heavy lifting of what a transaction is going to look like, documents already being overly marked. So it's different, It's a lot easier, but it's still here, right? It's still cluttering the numbers. But it's one of the non-predictable items, totally outside of our control.
Joel Jackson: Okay. You said Q1 spodumene production was 53,000 tonnes. It was 60 -- 59,000 tonnes in Q4. So you're down about 7,000 tonnes in the quarter sequentially. Talk about why you're at lower utilization in the first quarter?
Ana Cabral Gardner: Well, it's a funny quarter in Brazil. It's kind of we have our own version of the Chinese Lunar New Year. There's something called Carnival, where it's pretty hard to get people to operate a capacity. So we kind of lose -- most companies lose 10 days. If we whipped up our team as we did, we lost about five, six days, where people kind of show up not exactly sober, not fully productive and it happens, it's cultural. These people have been working like crazy, right? So Carnival is a problem. And then it -- we also caught the, you know, what we call the pressure valve of the first week of the year, because we put all systems go to deliver the 2023 last shipment, which sailed. I'm not sure if you remember this, but it literally sailed on the 30th, right. So the first week of January was like, oh! yes, we're going to relax. No, we won't, because we're going to have to make first quarter. So it was a combination of what we call collective vacations, where we're working with downshift in the first week of the year, plus the Carnival. And it's kind of always like that. This is -- it's the Brazil version of the Lunar New Year. You might want to build into your calendar. First quarter has Carnival and first quarter has the hangover of new year. And in our case, it was a hard hangover. Because, let me tell you, to make that shipment, we made people work 24/7 crazy hard. Our general manager for the plant didn't spend Christmas nor New Year with his family and his new granddaughter in South Africa, that man stayed here. He didn't meet his granddaughter to make that shipment. So that was the level of commitment of this team. They were like really all out to ship that boat in December and make the cutoff for the year, right?
Joel Jackson: Okay. And just finally, you gave color around, so you've obviously given Q4 pricing. You talked about what the April shipment is going to be final. For the two shipments in Q1, can you give an idea of what pricing looks like and how much is provisional on that?
Ana Cabral Gardner: Yes, well, I think what you see on the screen is a pretty good indication where we sit on the first -- on the first -- on a Q1, with fluctuations, but we're kind of averaging the industry, a little bit of a premium, but not really. Q1 was a tough quarter from an industry-perspective, because you see what happened in Q1, clients were stocked, but they were still buying our product. Why was that? Because of this slide. Given that life was so difficult for the clients, they were putting other products aside and processing our product just to bank that margin that we are literally giving to them. And we were told this much. So just the fact we had people buying full boats and paying us, I mean, not the full premium, but a tiny bit of a premium meant something for us. But what they were really doing is that they were banking this much extra margins, that's provided by the metallurgy of the product. That's kind of, we're delivering for free. So it was a fascinating quarter. We learned quite a lot and we just got a team coming back from China, like, they were there for 32 days, and they were told just that. So, part of this enormous premium we were able to obtain in this very -- we call price discovery process, where we got 18 clients to the that's auction bid this boat was a result of the clients having experienced this for now six shipments, seven shipments, and ascertaining for themselves, that they do need 2 tonnes less, sometimes 3 tonnes less of our product versus the comparable. So they're banking that difference, right, which kind of ties back to the question. Steve was asking us about why lithium suffered? Well, we want this money too. So that's -- this is value in use, floating around. We're either going to get it through a premium or we're going to just bank it ourselves in a lithium sulfate plant. We're not going to let it hang for that long, but one thing at a time, now is to double.
Joel Jackson: Sorry, so Q1 pricing would be similar to Q4 pricing or like, average -- your actual average delivery price similar, higher or lower?
Ana Cabral Gardner: You can use…
Matthew DeYoe: Explicitly glide 1Q, yes, Joel.
Ana Cabral Gardner: Yes, you can use what's here. It's okay. It's -- this indication.
Joel Jackson: That's what I was asking. Because you're giving Q4 and you're giving kind of April, but you're not giving mark -- the February, March…
Ana Cabral Gardner: Yes. There's about $100 of a difference. So there's $100 floating. So you can just take a pick, but it's -- we don't have the finals, right, because they were still on provisional. But it's going to be between this number and the number we achieved for this last auction, somewhere in between.
Joel Jackson: Okay, thank you. That's good. Thank you very much.
Operator: And at this time, there are no further questions. I will now turn the call over for any closing remarks.
Ana Cabral Gardner: Well, I just want to thank everyone for the support, for the patience, and for sticking to us. I mean, I think we are on to build probably one of the most resilient lithium businesses in the industry. We're building the next major. The mathematics shows this numbers talk for themselves. Math has no opinion and we're here to stay. And you look at -- when you look at this picture, we now have the longevity, which was the missing link of the sustainability when it comes to project years of Sigma given that we have prioritized cash flow and now it's clearly demonstrated why it was so important, because we were able to hit the tail end of the bull market, and we earned quite a bit of cash. So then this year, we reprioritize, lengthening the project life. So, we're one of the greatest forces of the industry. The fourth complex, when you attribute the names of the projects to the owners with the third largest lithium industrial mining complex in hard rock. We're quickly closing in on the number five producer. By next year, we're going to probably be on top of number four and number three. So it's a force for good. So here we are, aiming to be number three very soon with a product that is clearly, metallurgically better from a physical and chemical scientific standpoint. So it's the mathematics of savings for our clients, the mathematics of valuing use, numbers are numbers. So thank you so much for being here with us, for supporting us, for encouraging us, and for being partners with our team. And I can only close by saying we're in this together. I have never sold a single share of this company. So we're here to stay, and we're here to follow this journey with you.
Operator: This concludes the Sigma Lithium fourth quarter and full-year 2023 earnings conference call. Thank you for participating. You may now disconnect.